Operator: Welcome to the Light & Wonder 2025 Third Quarter Earnings Conference Call. [Operator Instructions] I will now turn the call over to Rohan Gallagher, Executive Vice President, Global Chief Corporate Affairs. Please go ahead.
Rohan Gallagher: Thank you, operator, and welcome, everyone, to our third quarter 2025 earnings conference call. Joining me today in Sydney are Matt Wilson, our President and CEO; and Oliver Chow, our CFO. During today's call, we will discuss our third quarter results and operating performance, where we will refer to our earnings presentation. This will then be followed by a question-and-answer session. Today's call will contain forward-looking statements that may involve certain risks and uncertainties that could cause actual results to differ materially from those discussed during the call. For information regarding these risks and uncertainties, please refer to our earnings materials relating to this call posted in the Investors section of our website and our filings with the SEC and the ASX. We will also discuss certain non-GAAP financial measures. A description of each non-GAAP measure and a reconciliation of each non-GAAP measure to the most directly comparable GAAP measure can be found in our earnings release and earnings presentation located in the Investors section of our website. With that, I will now turn the call over to Matt to discuss the third quarter results and operational highlights on Slide 3.
Matthew Wilson: Thank you, Rohan. Hello, everyone. Thank you all for tuning in today for our third quarter results. I'm pleased to share that our strong execution on our product road map and game performance enabled us to deliver robust earnings growth and cash flows. Consolidated revenue for the quarter increased 3% year-over-year to $841 million. Importantly, consolidated AEBITDA grew double digits year-over-year to $375 million, an 18% increase, supported by record margin expansion across all 3 businesses. Additionally, adjusted NPATA for the quarter grew 25% year-over-year and adjusted NPATA per share or EPSA increased 35% year-over-year to $1.81. Pleasingly, we continue to improve our quality of earnings with gaming operations once again emerging as an area of strength. Our teams delivered meaningful sequential installed base growth of over 850 units, including Grover. Additionally, recurring revenue grew 14% year-over-year, which accounts for approximately 69% of our consolidated revenue in the quarter. This high flow-through business is a key driver of our cash flow flywheel, which we expect to further enhance through our continued investment and execution on our road map. We remain intentional and committed to our capital allocation strategies. This quarter, we returned $111 million of capital to our shareholders through share repurchases. We're remaining nimble in the face of any near-term opportunities as we transition to a sole standard listing on the ASX, scheduled to take effect on November 14 in Australia, where we have been listed since May of 2023. I want to thank all of our stakeholders and advisers for their hard work and support during this transition. We are confident our move to the ASX will provide significant shareholder value in the next step of our company's journey and enable us to enhance Light & Wonder's profile in a market that is attuned to the gaming industry. Turning to Slide 4 for an update on our Grover Charitable Gaming integration. We have now seen a full quarter's worth of contributions from Grover with over $40 million in revenue and 229 incremental units added sequentially. Since we announced the acquisition, over 830 units were added to the fleet, bringing the Grover install base to over 11,250 units. Our focus remains on the seamless integration of Grover into game development and technology platforms, and we are pleased with the progress the Grover team has made in building out its team in anticipation of the growth ahead. Our new office and studio in Raleigh, North Carolina, which will serve as Grover's headquarters, soft opened in late October, and we expect to complete the build-out later this year. The Indiana market launch as our sixth operational state is progressing well. And importantly, we've build out a dedicated and experienced team locally to be fully prepared for launch needs. We remain incredibly excited about the vast potential of Grover and its contributions to our diversified business model and look forward to key Light & Wonder game launches into the charitable gaming market in early 2026. Moving along to Slide 5. We've continued to deliver on our core strategy by leveraging and prioritizing our robust R&D engine across complementary channels to deliver engaging content experiences as one of the leading cross-platform global games companies. We foster a high-performance culture with talent and a deep bench led by a leadership team with a proven track record, a highly valued asset in this industry. Our financial profile is impressive with high margins and cash-generating recurring revenue streams that enable meaningful capital creation. We execute on a disciplined capital allocation blueprint to create sustainable shareholder value. We are truly unique among our peers in both structure and operations, operating across multiple industries that have high barriers to entry. I will now take you through our segment results and highlights. On Slide 7, you will see that we've provided a summary of our revenue and profitability by business. What I'm most impressed with in this quarter is the margin expansion across all verticals. Oliver will provide more details into the growth drivers and outlook later on the call. Turning now to the gaming business performance on Slide 8. You will see that gaming revenue was primarily driven by strong gaming operations performance, which increased 38% year-over-year to $241 million on North American units installed and $40 million on Grover contribution. Looking ahead, we expect momentum to continue in North America on strong game and hardware releases introduced at AGA and G2E as well as the continued expansion of the Charitable Gaming business with our entry into Indiana in the coming months. The decline in gaming machine sales was largely in the international markets, which was adversely impacted by the large Entain order of 3,600 units in the prior year and our out-of-cycle hardware churn in Australia. Going to the fourth quarter, we expect a sizable order of our SSBT or sports betting terminals in the U.K. as well as previously discussed Asia demand that has shifted in timing. Our systems and table businesses both saw modest growth in the quarter with systems supported by higher international hardware sales. We expect the business to continue its growth trajectory, underpinned by customer-centric innovations. Tables revenue increased on higher utility sales in North America as we continue to expand our product offerings and pipelines. We received strong feedback on our Obsidian offering and the new team led by John Hanlon is well equipped to capitalize on domestic and international electronic table games opportunities over the coming years. Here is an in-depth look at our gaming KPIs on Slide 9. We now have 47,240 installed base units in North America. Excluding the 11,255 units of Grover, North American premium units have grown for 21 consecutive quarters and now account for 52% of the total North American installed base. This is a true testament to our game performance and pricing precision of our commercial strategy. In North America, average daily revenue per unit declined on a reported basis due to the inclusion of Grover units. However, excluding Grover, our North American installed base revenue per day increased 5% year-over-year, primarily driven by wide area progressive performance amid a resilient gaming backdrop and strong GGR. Importantly, we continue to lead in the new [indiscernible] game Index with 3 out of the top 5 indexing new premium leased and WAP games with our Ultimate Fire Link and Huff N' Puff franchises. North American gaming machine sales remained strong with over 6,000 units shipped in the quarter despite the difficult year-over-year comparison and softness within the International segment. Light & Wonder's scale and global presence enabled us to be a meaningful participant in all markets. Just recently, we entered the Nebraska skill game market and commenced trials in the Eastern European dynamic multi-game market. We see ample opportunities for our products to reach new markets that will be coming online and available to us. In the latest Eilers report, we saw Piggy Bankin Break In debut at #1 as the top indexing new video real game and Dragon SpinSaga Fire & Water rounding out the top 5, reflecting our continued commitment to building great for sale games. We showcased an exciting lineup at G2E, as shown on Slide 10. The feedback on our cabinets and games from our operator partners was encouragingly positive. I am thrilled with the launch of Lightwave and expect our Cosmic cabinet, along with our proven franchise extension to fuel our installed base and game sales growth, underpinned by our differentiated R&D engine. Turning to SciPlay on Slide 11. Quick Hit Slots and 88 Fortunes once again delivered record quarterly revenues, their 15th and fifth consecutive quarters, respectively, as they continue to ramp with exciting slot content and features. The year-over-year revenue decline in the quarter was primarily attributed to the decreased number of average monthly payers at Jackpot Party. Despite the softness, we're able to grow the other games within this game portfolio, and we continue to invest in building and deploying engaging games through our omnichannel strategy. Monetization remains strong with average monthly revenue per paying user up 11% year-over-year to over $126 and average revenue per daily active user maintaining a record level at $1.08 with 4% year-over-year growth. From a profitability perspective, we continue to see significant progress in our direct-to-consumer platform, which grew to 20% of SciPlay's revenue, up from just 12% a year ago and putting us well on track to reach our 30% target by 2028. There is continued runway for wider deployment and adoption, which we expect to further expand margins going forward. Regarding Jackpot Party, we have seen stabilization and opportunities to return to growth with a revamped game economy and increased efforts around unregulated suites-based gaming. There is reason to believe the general environment will improve as initial data from states where the ban is in effect becomes available. At the same time, we'll return to our roots and execute on our success drivers over the past 3 years, fine-tuning our acquisition, engagement and monetization flywheel, as you can see here on Slide 12, which will enable us to get back on track. In terms of UA, we will remain efficient and continue to focus on ROI opportunities through innovative marketing efforts. Engagement will also be closely assessed and enhanced with meta features and more land-based games to drive cross-platform play. Ultimately, we plan to take a prudent approach to monetization while providing our players with a robust game experience they enjoy. This is a process we will continue to navigate over time, but we remain confident in our teams and the broader portfolio of great games to drive a return to sustainable growth. Moving to iGaming on Slide 13. We delivered record revenue of $86 million in the quarter, up 16% year-over-year, driven by continued strong momentum in North America, underpinned by first-party content proliferation in the U.S. market and growth in our partner network. In fact, 7 out of the top 10 games across our OGS network were first-party game types, led by Pirots 4 in the #1 slot, followed by 3 Huff N' Puff games ranking second, third and fourth on the list, reflecting the strength of our omnichannel strategy and durability of our game franchise expansion. Margin expansion was evident with the proliferation of first-party content as AEBITDA increased 42% year-over-year to $34 million, with AEBITDA margins up 800 basis points over the same period. This also accounted for our strategic initiatives and realignment of resources. Wages processed through OGS grew 23% over the prior period to $28 billion with record volumes across all regions and content types demonstrating the growth potential of our platform and the industry. We remain committed to capitalizing on our iGaming road map, as you can see on Slide 14. There is genuine player affinity for our game franchises, and we are committed to bringing those games to the iGaming platform broadly. We are slated to launch more player favorite land-based franchise extensions in the fourth quarter, such as Big Hot Flaming Plots Tasty Treasures, Huff N' Extra Puff, Ultimate Fire Link Cash Falls Glacier Gold and Rainbow Riches Road to Even More Riches 2, just to name a few. Our OGS is regarded as one of the most mature iGaming content aggregation platforms in the industry, connecting studios and operators in over 40 regulated markets and over 7,500 operator connections. Its reach has enabled studios to scale their games across various jurisdictions as seen with Lightning Box and Elk whose GGR has grown over the years. Elk Studios is in the process of expanding its U.S. presence with a pending license in Michigan as we expand the audience for these digital native studios and games. International expansion remains an opportunity for growth. We recently received approval to go live in the Philippines as the first licensed iGaming supplier, and we are very excited about the prospects given that we are one of the leading land-based slot suppliers in the region. We are confident that investments in the iGaming portfolio will be further accentuated with the support of our team's focused execution. We will continue to leverage our leadership position and expand our robust portfolio to capitalize on the opportunities available to us. As we close out the year, I want to commend the team on their resilience and dedication as they executed on several key operational and financial initiatives simultaneously. It's quite a feat to navigate the broader environment this year, but we're able to deliver growth and profitability supported by a solid business model, underpinned by a differentiated R&D mode. I will now hand it over to Oliver to go over our financials. Oliver?
Oliver Chow: Thanks, Matt. First, I'd like to note that we've expanded our financial reporting this quarter to include a detailed reconciliation of the non-GAAP profitability metrics aligned with the Australian market on Slide 16. We expect to provide this level of detail on an ongoing basis as we transition to a sole standard listing on the ASX. Turning to the results. This quarter reflected continued earnings growth driven by our disciplined execution. Consolidated revenue growth was driven by strong gaming revenue with contributions from Grover and another record iGaming quarter, fully demonstrating the performance of our game portfolio. Net income increased 78% year-over-year, primarily driven by revenue growth and continued focus on operational efficiencies as evidenced by AEBITDA margin expansion across all businesses. This led to consolidated AEBITDA and adjusted NPATA growth of 18% and 25%, respectively, year-over-year. On a per share basis, net income per share on a diluted basis increased by 89% to $1.34 compared to $0.71 in the prior year period. Adjusted NPATA per share or EPSA increased 35% to $1.81 compared to $1.34 in the prior year period. Our continued focus on operational excellence and disciplined execution once again drove meaningful year-over-year consolidated AEBITDA and adjusted NPATA growth you see here on Slide 17. In gaming, margin expansion in the quarter was primarily driven by North American gaming operations units installs and higher revenue per day led by the performance of our wide area progressive units as well as the contributions from Grover. Product mix was also a factor in the quarter on higher gaming machine sales in the prior year. Looking forward, we expect our gaming AEBITDA margin, inclusive of Grover, to trend in the low 50% range based on product mix and currently estimated mid- to high single-digit million dollar range of quarterly tariff impact starting in the fourth quarter and into 2026. SciPlay continues to drive meaningful profitability, evidenced by DTC growth to 20% of the revenue in the quarter. The team has formulated a solid blueprint around our user acquisition initiatives, and we'll deploy efforts prudently based on the potential ROI and seasonality. Historically, the fourth quarter is more of a competitive market for ad spend, and therefore, it is likely we will ramp UA spend back up in 2026. We continue to see solid performance at iGaming as both revenue and AEBITDA were at record levels for the quarter. Our decision to realign resources to the most impactful areas of the business is paying off with revenue and first-party content growth contributing to margin expansion. I'd also like to note that the now discontinued live casino business had approximately $3 million of AEBITDA impact in the prior year and will have a residual impact into the first quarter of 2026 from a comparability standpoint. Our corporate and other expenses are also realigned to better fit our business needs, and we expect this to scale proportionately as we continue to grow the business with some legal expense potentially shifting into 2026. From an adjusted NPATA perspective, the 25% growth was largely driven by AEBITDA increase with record margins across all businesses. This was partially offset by increased depreciation and amortization from the inclusion of Grover units and success-based gaming operations capital expenditures as well as interest expense as a result of higher outstanding debt associated with the Grover acquisition and share buybacks. I would like to provide some color on some of the nonoperational items that are expected to impact adjusted NPATA as we close out the year given the listing transition quarter. We expect amortization of intangibles and interest expense to continue to trend up year-over-year on the Grover acquisition, with interest volatility also driven by our share buyback program in the fourth quarter as we transition to a sole listing on the ASX. From a tax perspective, our effective tax rate is expected to remain between the 21% to 24% range. Overall, we remain confident to land within both our full year 2025 targeted consolidated AEBITDA and adjusted NPATA range accounting for Grover, which we provided on the previous call. Turning to Slide 18. Cash flow continues to be a focus of the organization as we generated operating cash flows of $184 million in the quarter. Free cash flow was $136 million, a 64% year-on-year increase, led by earnings growth and lower cash tax payments. Importantly, we intend to drive further improvement in our working capital cycles, inventory position and capital expenditures to improve cash conversion over time, in addition to growing our top line and managing our cash tax payments and interest efficiently in response to broader environmental changes. Our goal is to continuously improve free cash flow through the quality of earnings on growth of our recurring revenue business, amplified by continued execution on our key cash enhancement initiatives. Here, you will see that we've trended positively over the past 9 months from a cash conversion perspective and ended the quarter with a 36% conversion rate based on consolidated AEBITDA, translating to an 89% cash conversion over our adjusted NPATA metric, both up significantly from the prior year. We remain committed to meaningful cash flow generation over the long term as we continue to scale and optimize efficiency across the company. Moving to our capital structure on Slide 19. Our net debt leverage ratio for the quarter remained within the targeted range at 3.3x on a combined basis following completion of the Grover acquisition, which was financed through our $800 million Term Loan A. We recently issued new $1 billion, 6.25% senior unsecured notes due in 2033. With the proceeds, we redeemed the 7% senior unsecured notes due in 2028. We paid our outstanding revolver credit facility borrowings with related fees and expenses and added cash to our balance sheet for general corporate purposes, which include providing available funding for our share repurchase program as we maintained $1.2 billion of available liquidity. This enabled us to further optimize our existing debt structure with an average tenure of 5 years by extending bond maturity from 2028 to 2033, while also reducing the interest rate from 7% to 6.25%. Our effective net interest rate is approximately 7.2% with fixed versus floating debt mix at 55% versus 45%. We will continue to strategically look for avenues to optimize our capital structure through opportunities when available. Our capital allocation framework remains the same, as you see here on Slide 20. R&D is the engine of our business, and we remain committed to investing in our growth initiatives with targeted R&D and CapEx allocation of 17% of our consolidated revenue. This enables us to continue developing our content across our verticals to drive sustainable growth over the long term without compromising our short-term targets. We also remain committed to returning capital to shareholders with $111 million of shares repurchased or approximately 1.2 million shares during the quarter. Subsequent to the end of the third quarter, we repurchased an additional $101 million of shares with residual buyback capacity of $735 million remaining on our existing authorized program as of October 31, 2025. The company completed $765 million of its total authorized $1.5 billion share repurchase program as of the end of the third quarter and since the initiation of the prior share repurchase program in March of 2022 through October 31, 2025. Overall, the company has returned $1.5 billion to shareholders through the repurchase of approximately 19.9 million shares, representing approximately 21% of the total outstanding shares prior to the commencement of the programs. We retain discretion to accelerate repurchase activity to capitalize on opportunities to deliver enduring value creation for shareholders and currently expect to utilize a meaningful share of the remaining available capacity prior to the end of 2025, while preserving a healthy liquidity position. Pending the expense of the share repurchases, our leverage may move slightly above the high end of the range in the near term. However, we would expect to quickly return within our targeted range, underpinned by the strong cash generation of our business. Importantly, we maintain a highly flexible capital structure, which allows us to deploy balance sheet capacity opportunistically when appropriate, with flexibility to undertake buybacks on both the NASDAQ prior to the [ list ] and the ASX with intentions to be active, subject to regulatory approvals. Absent any capital allocation opportunities, we aim to position at the lower end of the target range over the long run. Overall, our priorities will be thoroughly planned through a disciplined capital allocation approach, which we expect will create sustainable long-term shareholder value. As we close out 2025, I would like to thank our team for their continuous efforts executing on the various initiatives we have in place. We will continue to deliver exciting and engaging new games across our channels, leveraging the latest technologies and creating an exceptional customer experience. With that, I'll turn it over to the operator for your questions. Operator?
Operator: [Operator Instructions] The first question we have comes from Barry Jonas with Truist.
Barry Jonas: We are a bit over a month into the fourth quarter. Curious how you see the quarter shaping up to hit your 2025 guidance. What are the key building blocks or opportunities as you see them?
Matthew Wilson: Yes. Thanks [Technical Difficulty] year-on-year [Technical Difficulty] driving this growth in the business. I think the U.S. sale [Technical Difficulty] contributions from the adjacent markets [Technical Difficulty]. Now another [ 229 games ] in the quarter grew very nicely over that period and made a full contribution in the quarter of $40 million. I think margins [Technical Difficulty] business, and that all added up to a [Technical Difficulty] less work to do in the fourth quarter than we had. So yes, [Technical Difficulty] third quarter, [ 65% ] of the business was [Technical Difficulty] nature. So very predictable in terms of our earnings. But obviously, a few things to close down as we [ end ] the year over the next 8 weeks. Maybe I want to kind of fill in some of the blanks there.
Oliver Chow: Yes. Thanks, Matt. And I think as you said, it kind of starts with our recurring revenue businesses. So that remains very strong as evidenced with our gaming ops growth, the addition of Grover here. And we just continue to see momentum as we head into the fourth quarter. So great tailwinds there. I think North American outright sales performance remains strong for us, and that's really driven by the gaming performance that we've seen over the last several quarters, and we expect that continuing into the fourth quarter. You would have remembered, Barry, last quarter kind of preview that Canadian VLT orders are shifting into the second half. And so ultimately, that will help kind of drive outcomes for us. International game sales, that's going to be, I would say, slightly impacted by timing of certain Asia NOEs slipping into 2026 in the Philippines. But we still maintain kind of our share in Asia, and we expect our [indiscernible] share to get back to kind of rightful share gains here as we head into 2026. And then I would say on the other side of the recurring revenue, we expect continued scaling from a DTC perspective in SciPlay. We had very strong 1PP share performances in the quarter. We expect that to continue as we close out the year. And I think lastly, you heard me say this on the prepared remarks, but the tariff impact is expected to be, call it, mid- to high single digit AEBITDA impact starting in Q4 and something that we'll continue to kind of work through. So that all said, we expect a strong fourth quarter with line of sight to that 25% target range that Matt kind of mentioned. And it's going to drive another double-digit growth year for us. So that's going to be outperformance relative to the broader industry, and we certainly expect to continue to execute against our strategies. And lastly, what I'd say is -- and I want to be very clear on this, we're not going to compromise the long-term growth of this business to hit short-term goals. So we're going to continue to invest into the business into to the quality of the earnings that we're going to be delivering over time. So still some work to be done, but we have line of sight to a lot of great momentum across the business.
Operator: We have your next question from Matt Ryan with Barrenjoey.
Matthew Ryan: I was just hoping to get an update on Grover. It looks like you've added some more boxes in the quarter. Just can you tell us about, I guess, the integration with the broader Light & Wonder content and just also just more specifics on Indiana as a launch?
Matthew Wilson: Yes, I'll take that. Yes, I think great quarter for Grover added 229 games for the period. The first full quarter of contribution from Grover in the third quarter. I think the team is doing a fantastic job integrating into the broader Light & Wonder family. They had a great showing at G2E. Matt, I know you were there and a number of other people on line were -- the business is performing very well. You'll start to see our game, the Light & Wonder games show up on the Grover installed base early in '26. And then we are getting ready for Indiana market entry. It looks like it may have shifted into the first quarter, just the regulations taking a little bit longer than we had anticipated, but we don't see any issue to the long-term nature of that market. It's still going to be a big and vibrant market, and we'll start to scale the installed base over 2026. We opened the Raleigh, North Carolina head office in the period, which is great. We're starting to staff up there. There's content and technology teams going into that facility led by Brian Brown, obviously. We've opened up an integration center in the Indiana market. So things are set up really nicely as we turn the page into 2026. You're seeing that nice sequential addition of gains quarter-after-quarter. Indiana will be a growth driver for us in the first quarter. So yes, looking like at this point, a great piece of M&A and a part of the portfolio that belongs in the broader ecosystem of Light & Wonder. So really encouraged with where we stand with Grover.
Operator: Your next question comes from Chad Beynon with Macquarie.
Chad Beynon: Matt and Oliver, I know the original guide for Q3 was for low double digits. So you clearly exceeded that. It looks like most of beat or a lot of the beat came from the gaming margin more in the mid-50s versus the low 50s. So can you double-click a little bit just into that flow through for Q3 in gaming? I know there's some noise, obviously, integrating Grover, but anything to help there would be helpful for us.
Matthew Wilson: Yes. I thought it was a fantastic quarter again from the entire team. We guided to low double digits in the third quarter. We delivered 18% growth. So clearly pacing ahead of our expectations and what we've committed to the market. And a big driver of that was gaming. And in particular, the gaming operations business, which has added a lot of games in the period, 639 in the period over 2,800 year-on-year. So it's a powerhouse of the business for us and great tailwinds there, driven by great game performance. So we think that can continue in the fourth quarter and beyond. We've got a lot of momentum there. But maybe, Oliver, you want to touch on the margins and the mix and maybe the fee per day [ growth ].
Chad Beynon: Yes. Thanks, Matt. So yes, I think broadly speaking, as we kind of head into the fourth quarter, the one thing I did miss actually in the last question is the sizable SSBT order that we're going to have in Europe. And so certainly, that's going to have a product mix impact, even though we're continuing to scale our recurring revenue businesses. So we grew our RPDs 5% year-over-year. And so the quality of our recurring revenue business continues to be very strong. And so ultimately, product mix will play a part into kind of broader mix. But I think overall with tariffs, including kind of the gaming sales mix, I think you'll start to see a more normalized kind of gaming margin as we move forward.
Operator: We now have Andre Fromyhr with UBS on the line.
Andre Fromyhr: I was just wondering if you could talk about the sort of level of demand that you're seeing at the moment and conversations you're having with customers as they build their budgets for next year. For example, tax incentives on accelerated depreciation entering those conversations? What's been the response and uptake on Lightwave? Just curious to hear how that sort of demand environment is shaping up.
Matthew Wilson: Yes. Pleasing to say the market has proven to be very resilient. I think it wobbled a little bit there in the second quarter after Liberation Day for obvious reasons. But just given where GGR levels are at, reinvestment levels seem really high from a customer perspective. I saw the Eilers note out today just talking about forward-looking intentions for replacement cycle ticking up. I think that's just a function of the quality of games that the market is producing. And I think operators know to compete, you got to have the best games on your floor. So we're seeing that through a solid replacement rate across the market. And then I think you're also saying that constant tick up of the percentage of the floor that is premium. So I think that ticked up to 15% or 16% in this latest slot survey. So I mean that's a great tailwind for the industry. We continue to put our best games into that category. And I think customers know that the best players want to play the best games. And so having those available on the floor is a great thing. So yes, I think all in all, where we stand today, the consumer looks resilient, particularly the gaming consumer looks resilient. That's flowing through into GGR and good forward intentions for purchasing demand. So I think as we turn the page into '26, it will be interesting to see if that flows through the one big beautiful bill, accelerated depreciation dynamic flows through into budgets. We've heard from a number of customers that they're thinking about how do they best take advantage of that to maybe potentially accelerate some of their replacement market. But each customer is different, and they're thinking about it differently. So we'll monitor that closely as we turn the page here into 2026. For us, it's really focus on the controllables, build great games, take share in the market. I think we -- it looks like we did take share again here in the third quarter, which was fantastic with over 6,000 units shipped. So a testament to Siobhan Lane and the entire gaming team. Anything to add, Oliver?
Oliver Chow: No. I think you said we spent some time with customers at G2E and exactly to your point, Matt, some kind of indicated opportunities for accelerated depreciation, such as some of the bigger regionals. We'll continue to kind of work with our customer base to ensure they understand kind of the benefits of those components. But also to your point, Matt, product road map, not only just on the software side, but also the hardware that we're coming out with will continue to spur kind of opportunities for us to gain share.
Operator: We have David Katz with Jefferies on the line.
David Katz: I wanted to ask about iGaming and SciPlay, both. When we look at the setup, right, with revenues that aren't growing, but there is a benefit of DTC mix in there that's driving some profitability with it. How far does that really go? I know you've talked about a DTC target mix, but can, at some point, the revenues start to grow again? Or how are we thinking about that longer term?
Matthew Wilson: Yes. So I'll address the SciPlay question that you laid out there. Yes, it was a quarter where we didn't grow the top line to our expectations. And it's a portfolio of games, David, as you know. We've got some very fast-growing games, Quick Hits, 88 Fortunes, MONOPOLY, all grew nicely in the quarter. Really, the drag on the portfolio has been Jackpot Party and Gold Fish. These are big mature games that have been in the portfolio for over a decade, have been growing ahead of market for the last 10 years. The good news is we've stabilized those 2 games. And so as we can get those back into growth mode, it kind of lifts the tide for the entire portfolio across social casino. But I'll say from the outset, Jackpot Party in particular is not where we want it to be, and we need to work hard to get that back into growth mode, and Josh is doing a lot of work to focus on that. We've been fairly public about the impact of sweeps on this category. We see some data in markets where sweeps is being eliminated, and we're seeing a subsequent uptick in the social casino market. So we think as that manifests over time and the deregulation of the sweep stakes, I guess, happens over time, then that will be a tailwind for the social casino sector. We don't really control that. So what we can control is the economies that we can optimize in our games. So we do think we get revenue back to growth mode in 2026 as we get those games dialed in, and we have the benefit from sweeps. The direct-to-consumer benefit is real. It's -- a year ago, we were at 12% of revenues were direct-to-consumer. It's 20% now. In May, we guided to 30% by 2028. So clearly, we're pacing well ahead of the direct-to-consumer mix. And we feel like we can accelerate beyond that target over time. So there's a real tailwind from a margin perspective on direct-to-consumer. We've got to focus on getting the top line growing again, and that's the focus of the team at the moment.
Oliver Chow: Yes. And maybe just one quick add just from a monetization perspective. I mean that continues to improve year-over-year. So David, I think the fundamentals seem to still be there, which is great. And Josh and the team know how to run and grow games to Matt's point. So if you look at ARPDAU, that grew 4%, almost 4% year-over-year. Our ARPU grew almost 11%. So if you look and just peel the onion back, there's certainly some favorable trends that we're going to continue to try to build on. But I mean you called it. I mean, that's going to be an area that we're going to continue to focus and drive this back to growth over time.
Operator: Your next question comes from Rohan Sundram with MST [ Marquee ].
Rohan Sundram: Just the one for me. Oliver, can we please just revisit your commentary around the gaming EBITDA margins where the expectation is to trend towards 50%. Just the timing of that. And within that, you mentioned Grover, are you saying that Grover is a negative mix shift? Or did I get that wrong? And on the tariff side of it, where do you see scope for mitigations, if not already?
Oliver Chow: Yes. Yes, I think the benefit that we got in the quarter, certainly, as Matt mentioned before, was product mix. And so as we head into the fourth quarter -- sorry, a little feedback, with the SSBT orders and game sales, probably a bit more prominent in the quarter, we should see a more normalized kind of mix. Grover gaming is not a detriment to our margins. In fact, it's a margin enhancer for us. It's a free cash flow driver for us at the end of the day. And so as our recurring revenue, and I think Matt mentioned this earlier, 69% in Q3 of mix of recurring revenue. As that continues to kind of scale over time, that's just going to drive even better margin and free cash flow outcomes for us. So yes, I would expect that to continue over the coming periods. And then it will just be kind of timing of game sales, international, et cetera, that will kind of fluctuate margins [indiscernible]. To your question regarding tariffs, yes, listen, I think Anthony Firmani and the team have just done an incredible job of mitigating our way through most of this year. The reality is we've kind of worked through the majority of the pre-tariff inventory at this point. And so we will now start to see impacts to kind of that mid- to low -- sorry, mid- to high single-digit millions as we go forward. That's something that we and the team are going to continue to look at through the margin enhancement initiatives to see what we can mitigate. But we wanted to just be open to forthright with you all about what we see at the moment.
Operator: We have Ryan Sigdahl with Craig-Hallum.
William Fafinski: This is Will on for Ryan. I wanted to ask about iGaming. You organized the business a little bit. I think you saw the best growth in nearly 2 years. What do you think is going to be the major driver for this going forward? And how do you feel about your positioning now versus where it might have been a few years ago?
Matthew Wilson: Yes. Great question. A real bright spot for the quarter actually, they grew 18% revenue, 42% AEBITDA. So great translation of the operating momentum into the financial results. It's really about the simplification of the business. If we went back to basics, this business has really driven off great content, great 1PP content in particular. That's what drives the lion's share of margin in this business, and we've really focused on that. We saw the launch of Huff N' Puff the family into the channel in the U.S. It's got a 5% of the entire market in the U.S. is Huff N' Puff in the period, which just is a testament to how great high-quality land-based games can translate into great success in the digital iGaming market. So very encouraged by that. We've reorganized the business into one content team across all the channels, led by Nathan Drane. They're really [ ticking ] up all of those content teams across the globe to bring that content to bear on the iGaming market. So great performance from Huff N' Puff in the U.S. And then one of our digital native products called Pirots 4 had a record result in the period as well. That's kind of in the European market. So just a testament to the quality of games and what that can do for the portfolio. So simplification of the strategy, I think, is really kind of turbocharging iGaming, really pleased with that result and the team's delivery.
Operator: We have Justin Barratt with CLSA on the line now.
Justin Barratt: Just noting your comments, I guess, around that mid- to high single-digit millions of increase in terms of costs directly to tariffs. I want to understand what you think you can do to mitigate those costs? And particularly, I guess, from the pricing side of things, should we sort of see a subsequent or a partially offsetting increase in ASPs to help there?
Oliver Chow: Yes. Thanks for the question. Yes, I think we're kind of evaluating as we kind of move into 2026. Part of that is our kind of pricing structure, but also our hardware strategy and content strategy. So putting out new content, new hardware that gives us the ability to price up as well as some of our existing kind of legacy cabinets. I think we'll work with our partners and our customers to make sure that we have an optimal outcome for the industry, first and foremost. This is not a Light & Wonder specific issue. This is going to be an issue that many industries and many companies within gaming as well will have to deal with. And we've got the best team kind of working through that led by Anthony Firmani, led by Michael Lorelli and the strategy team as we kind of navigate through other opportunities to drive margin enhancement. We've been doing this for now several years, right? And so I think we've proven that this is a strong skill set for us as an organization, and we'll continue to find ways to try and mitigate that. But again, as I said earlier, we just wanted to provide that visibility to you all. And yes, Matt and I are going to charge the team hard to figure out ways to compensate for these increases, whether that's through pricing or whether that's through cost opportunities.
Operator: Your next question comes from Jeff Stantial with Stifel.
Jeffrey Stantial: I wanted to double-click on David's question from earlier on SciPlay. Matt or Oliver, can you just maybe unpack for us or explain for us a little bit more some of the actual blocking and tackling that goes in, in terms of stabilizing Jackpot Party, the monetization gets disrupted, some players have that experience. Like how do you actually go back out and sort of bring them back in after reversing some of those changes? And as a corollary to this, are there sort of learnings going through this experience that you could take kind of moving forward?
Matthew Wilson: Yes. So it's really a Jackpot Party specific issue. Like you can see Quick Hits, 88 Fortunes, MONOPOLY, all growing really well in the period. So it's not about the team's inability to drive games. It's specific about Jackpot Party, which is a very mature game with a pretty complicated economy that's been built over time with the kind of laddering up of live ops features. And so what this is really about is getting kind of our large players reengaging and spending at the levels they spent at previously. So Josh is driving changes to store logic, and some of the live ops to just get that reengagement back to levels that we've seen previously. Like I said, it's a pretty convoluted set of live ops that kind of entangled into the economy. So it's really about making sure as we change one thing, we're not breaking another. Josh is working on this specifically. And we're seeing stabilization of that game over time. So we're going to continue to work on optimizing the store logic to kind of reengage those players the way that I mentioned earlier. But again, also taking some of these learnings into our other games, Quick Hits, 88 Fortunes and MONOPOLY and just making sure that the simplicity of the way we design these things is the most important thing. So I guess to say all that game has stabilized. It's set to return to growth in 2026, but we've got a portfolio of games like everyone does in the space. Some are growing at faster levels than others. So this is really a kind of a Jackpot Party specific issue that we're facing.
Operator: We have Adrian Lemme with City Group.
Adrian Lemme: Matt and Oliver, very strong margin improvement across the businesses. I was interested in the R&D spending being down 6% to $62 million in the quarter. Can you talk to what drove this and where we should expect to see that in future quarters and whether you see any impact on the future pipeline, please?
Oliver Chow: Yes. No. Like I said earlier, R&D, CapEx, that's the core of our business, the foundation of our business. If you actually look at and what we've constantly guided is that 17% of our revenues going to R&D and CapEx. Some of that will flow between the 2. So if you actually take the 2 pieces and add those together, pretty much right at 17% actually for Q3. So it's going to be an area that we continue to lean in on. Nathan continues to kind of reevaluate kind of his structure of what he needs to be able to sustain growth in all segments of the business. And I don't think Matt and I have said no to Nathan yet as he's brought really strong high ROI investment assets over the years, and we'll continue to kind of work through really just efficient capital allocation strategy, which hasn't really shifted. So CapEx, R&D, 17%. We're going to continue to kind of drive to that. And as our revenue grows every single year through this kind of 2028 period and beyond, that just gives the teams much more ammunition to be able to execute on our long-term strategy.
Operator: We have Liam Robertson with Jarden on the line now.
Liam Robertson: Just quickly on the quantum and velocity of bringing new games to market. It sounds like you've got plenty of confidence moving forward. From what I understand, your new carbon platform has been operational for about 3 months. Can you just talk to how that improves your ability to deliver new games across both land-based and iGaming?
Matthew Wilson: Yes. Yes, Carbon is an initiative we've been working on for some time. Really kind of the catalyst for us to accelerate that was Grover being able to get our games onto the Grover platform very quickly. And so Victor Blanco, who I think is the best CTO in the industry, is driving that initiative. But it's more broadly just getting on to Grover. It's building it once and then being able to deploy it across all the channels that we operate in. I'd say we're still very early innings. There's been a bit of a rebuild of the Carbon platform to adopt some best-in-class AI tools. They're going to help us go faster and further with Carbon. So yes, that will manifest over time. I think the lineup of games is stronger than it's ever been. We launched more games this year than we have in our history. We also launched 4 new variants of hardware at the G2E show. So yes, the R&D teams are bringing a very great game content across all the channels, great hardware. You're seeing that show up in the Eilers charts. We had a record level of number of high-performing games on the premium charts as an example, which is the #1 spot in the core for sale, Eilers chart. So yes, really comfortable with the quality of the games coming out of the R&D organization. And then the efficiencies we'll get as Victor scales the Carbon platform over time will really play through nicely across all those channels. So thanks for the question.
Operator: [Operator Instructions] And we now have Sriharsh Singh with Bank of America now.
Sriharsh Singh: A couple of questions from my side. One, can you talk about the sustainable margin levels in iGaming? Do you think it should sustain above the 40% levels in future as well or close to that? And secondly, can we -- can you help us update on the international business outlook into Q4 and next year? And what's the pipeline looking for Australia?
Oliver Chow: I'll take the iGaming margin question. So I think the iGaming margin that we referenced earlier was really a combination of kind of structural as well as operational levers. We did -- and I believe I called this out in the prepared remarks, but we did benefit from the live dealer business and exiting that live business dealer. So the comp kind of from a year-over-year perspective helped us. I think that was about a $3 million drag in the prior year. So if you kind of normalize that out, yes, the 1PP share aspirations that we have over the next several years will help us sustain those kind of normalized margins as we move forward. And that's obviously a focus of ours, as Matt mentioned, in terms of getting the right content in place and then proliferating those across the region. But Matt, I don't know if you want to touch on the other items that...
Matthew Wilson: Yes. International sales, so, yes, this is a tough thing for analysts to unpack sometimes because you don't get the same visibility in the international markets as you do in the Eilers analysis in the U.S. So probably 3 parts to the international story. The first one being the EMEA region. And there's a little bit of noise in that result. So in the prior corresponding period, we had a large Entain order, which we've spoken about a number of times in that period in the prior year, which we didn't get in this period, although we do get this SSBT order in the fourth quarter in the EMEA region. So I think that's a little bit of the kind of the building blocks to how to think about the EMEA region. I think from an ANZ perspective, we're cycling over a very tough corresponding period last year. We were kind of at elevated share levels in the PCP. We -- our share level is a little depressed in Australia at the moment. It's really a function of getting kind of the content and hardware lineup dialed in. And we showed that at AGA. We've got a lot of strong feedback on the lineup for ANZ. So I think as we turn the quarter into '26, we're set up to kind of grow share in that market again over time. The team is excited to get their hands on those new games coming through. And then thirdly, probably the biggest impact is the cyclicality of the Asia region. As you know, over the years, it's been very kind of new openings and expansion driven. So there was a bit of noise in the '25 calendar year and some things pushed out into 2026. It's not a share issue, but we're holding share nicely in that market. It's just really a function of the cycle. So there are a few of the building blocks around international to help you kind of think about how to model that.
Operator: I can confirm that does conclude the question-and-answer session. And now I would like to hand it back to Matt Wilson for some final closing comments.
Matthew Wilson: I might actually just go back to Barry Jonas' question earlier. I know there was an audio issue that came through the line. So apologies for that. Let's readdress that one. So Barry asked the question about Q4 and the building blocks to get there. So I guess starting there, Q3 was a fantastic result by the team. We grew 18% AEBITDA for the quarter. We guided the market to low double digits. So clearly, the team outperformed our expectations in the period, which leaves kind of need a glide path into the fourth quarter. So we've reiterated guidance both at the AEBITDA and NPATA line. Like Oliver said earlier, 69% of our revenues in this period were recurring. So good predictability as we turn into the fourth quarter. We've got 2 months to go. So there are some big items we need to get over the finish line. The SSBT order is a good example of that. But Oliver, do you want to just give us some of the puts and takes and building blocks to think about that Q4 results?
Oliver Chow: Yes. Yes. We'll try this again. Hopefully, You guys can hear me. But yes, I think to Matt's point, it is the recurring revenue scaling that's going to give us tailwinds as we head into the fourth quarter. I think RPDs grew 5% year-over-year. So again, we go to bed and wake up in the morning, and that's incremental revenues every single day. The North American outright sales, we continue to have great momentum in that space, over 6,000 units. I would expect that momentum to continue into the fourth quarter. We had talked about this Canada VLT order shifting from the first half now into the second half. So that will provide, again, some opportunities for us. And Matt kind of just talked about the international markets, the SSBT orders and then it's really DTC and then scaling 1PP share from an iGaming perspective. So I think those are the kind of the building blocks that we're working to get another double-digit growth performance for us and which will be outperforming the broader market. So we're really excited about what's to come.
Matthew Wilson: Yes. Thanks, Oliver. And thanks for bearing with us for some of the audio issues. We're in Sydney doing this for the first time from down here. So we'll dial this in as we move forward. Once again, I'd like to express my sincere gratitude to all of our employees and stakeholders across the globe. We wouldn't be here without the collective efforts of all of you and the flawless execution and unwavering support from all of you. To our U.S. shareholders, this is not the end. We would love to have you continue on this journey with us on the ASX moving forward. And looking ahead, we're looking forward to speaking to all of you in the near future. So thank you again for tuning in, and have a great day.
Operator: Thank you all for joining today's conference call with Light & Wonder. I can confirm today's call has now concluded. Thank you all for your participation. You may now disconnect, and please enjoy the rest of your day.